Operator: Good afternoon and welcome to the DHT Maritime fourth quarter 2008 earnings conference call hosted by Eirik Uboe. My name is Liz and I will be your coordinator for today's call. (Operator Instructions) I will now hand over to Eirik to begin today's call.
Eirik Uboe: Thank you and welcome. Good morning everybody to the Q4 conference call. Before we get started, I would just like to make the following remarks. This conference call is also being broadcast on our website at www.dhtmaritime.com and a replay of this conference call will be available on the website. In addition, our Form 6-K evidencing this news release will be filed with the SEC. As a reminder, this conference call contains forward-looking statements that are governed by the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. These forward-looking statements which include statements regarding DHT’s prospects, the outlook for tanker markets in general, expectations regarding daily charter hire rates and vessel utilization, forecast of world economic activity, oil prices and oil trading patterns, expectations regarding seasonal fluctuations in tanker demand, anticipated levels of new building and scrapping, and projected dry-docking schedules involve risks and uncertainties that are more fully described in our filings made with the SEC. Actual results may differ materially from the expectations reflected in these forward-looking statements. And with that, I would like to turn the call over to Ole Jacob Diesen, the CEO of DHT Maritime.
Ole Jacob Diesen: Thank you, Eirik and good morning everybody. I shall go through the business situation of DHT Maritime for the fourth quarter of 2008 while Eirik Uboe will cover the financial aspects of the period. First of all, I am pleased to announce the Board decision to maintain the quarterly dividend of $0.30 per share. That is the same as the Company paid for the third quarter and it includes an extraordinary dividend of $0.05 per share for the fourth quarter 2008. This is based on the strong result of the year 2008 and also including the fourth quarter and the Company's current financial position which we considered to be quite healthy in this uncertain world economic times. With the balance sheet and the steady earnings and the long-term charters to a strong counterparty like OSG, we believe the Company is well positioned to meet the current downturn being experienced. In general, the fourth quarter of 2008 experienced volatile shipping market but it benefited from a better than expected balance of supply and demand factors from the vessels in storage following the strong contango in the market in the oil price as well as weather delays and certain strikes in French ports. These to some extent offset the delivery of new buildings and the reduction in the oil production by the OPEC cuts which reduced large amount due to the uncertain economic environment and had its negative effect on the demand for transportation. Anyhow for DHT 2008 has been the best year since we were established when we went public in 2005 and technically, the Company vessels are operated well despite of the total off hire days of 48 days. The off-hire days reflect substantially scheduled off hire related to mandatory special survey undertaking during the period of the Company's 2004 built Aframax tankers. Unfortunately, the number of days was negatively affected by poor weather and tight yard schedule which resulted in little extra idle time in connection with the docking. Marketwise, there are long term fundamentals. We still consider to be positive and China, India and the far-east emerging market will continue to remain the primary drivers in the growth of oil demand and thus, the tanker demand, although at the lower growth rate than previously. To offset any potential slowdown in economic activity, I think it is worthwhile to mention that China has provided strong stimulus packages for its economy and cut the interest rates several time all to stimulate first of all the domestic economy. Any growth in import of crude oil in this region is substantially transported by sea and over ever longer distances increasing the ton-mile transportation demand. So, despite the OPEC reduction in oil production and the world economic uncertainties that reduced the demand for oil, some of the demand reduction for oil transportation volume is offset by the longer transportation distances and as I also said, the storage from the current oil price contango. OPEC countries, even with the announced reduction in the oil production, are expected to continue to be the largest contributors of oil and continue to produce oil even at the lower oil price. There is a limit, I believe, to how much OPEC will cut their production as they are still required to meet their all national budget revenues and this will overall support the long haul transportation and the ton-mile demand. With the freight market now down from its peak and with the substantial number on new buildings being delivered, combined with a counterparty risks being an issue, the large organization of tanker pools in which our vessels are participating show their benefit not only as counterparty risk but also through better control over the tonnage supply and positively affect the supply and demand balance. While we may have experienced the peak of the conversional tankers to other type of vessels, scrapping of older single hull tankers become a more an alternative ahead of the 2010 mandatory phase out of the single hull vessels and the commercial obsolescence is getting worse and worse and reducing the market influence of the single hull tanks. Combined with the exit of single hull vessels, delay in deliveries at longer voyages including slow steaming, port delays in the storage requirements are all factors positively influencing the freight market under the current situation of reduction in OPEC oil production. As to the second-hand values, fleet values, the second-hand values are under pressure as the current credit squeeze is taking its grip and new building orders are drying up in the uncertain economic environment we are currently experiencing. DHT on its own is very well within its financial covenants and have a solid platform to meet the current market changes. The charter arrangement of the Company provides the Company with a steady cash flow, regardless of any negative fluctuation in the market rate below the base hire and at all the time, the Company benefit from upsize where the charters allow for profit sharing of so-called additional hire over and above the base hire of the threshold. During the fourth quarter of 2008, DHT has generated additional hire under the profit sharing arrangement to the extent of almost $9 million. This is almost 30% of the total revenue and the base hire at the time was $22 million. The market indications are that for the first quarter of 2009 could just like Q4 of 2008 produce good earnings to the Company including potential to earn additional hire like profit sharing arrangements, not at least because the profit sharing arrangement is based on a fourth quarter rolling coverage. I would like to mention in this case also that in the fourth quarter of 2008, the Company extended its committed charter periods with OSG by one year and by 18 months for two ships and one year for five ships and overall increasing the total time charter coverage. With a strong balance sheet and a reasonable leverage, steady cash flow from long-term charters to a strong counterparty, a credit facility in place with amortization first commencing in 2011 and a Company's current liquidity position, we believe DHT is well positioned to meet the slowdown and we are prepared to react to selective growth opportunities in order to create values to the shareholders in terms of return of investment and accretion to distributable cash flow without taking undue risk as we now enter the 2009. With this, I like to hand over to Eirik Uboe, the Chief Financial Officer. Eirik?
Eirik Uboe: Thank you, Ole Jacob. Q4 2008 was another very strong quarter for DHT which provided for a record high profit sharing under our charters. Total revenues were $30.9 million for the quarter consisting of $22.1 million in base charter hire and $8.8 million in additional hire under our profit sharing with OSG. We have earned additional hire each quarter since being listed on the New York Stock Exchange in October 2005. Net income for the period was $11.9 million or $0.30 per share. The Board of Directors has declared a dividend of $0.30 per share which will be paid on March 5 to shareholders of record on February 26. For the quarter, DHT’s VLCCs and Aframaxes achieved average time charter equivalent revenues in the commercial pools of $62,300 and $35,200 per day respectively. This is according to data from the commercial pools. The Suezmax Overseas Newcastle achieved earnings of $55,100 per day during the quarter. Of the additional hire, $6.3 million relates to the VLCCs, $2.3 million relates to the Aframax tankers, and $0.3 relates to the Suezmax tanker Overseas Newcastle. For the quarter, revenue days were 276 for the VLCCs and 320 for the Aframaxes. The Suezmax tankers had a total of 182 earning days in the quarter and total off hire for the quarter was 48 days of which 46 days were related to scheduled dockings. While the base charter hire rates for our vessels provide for stability in revenues in weak markets, the profit sharing element gives us the benefit of sharing in the strong markets that the cyclicality of the tanker market can lead to from time to time. For the fourth quarter of 2008, DHT’s vessel expenses including insurance cost were $6.2 million, depreciation and amortization expenses were $6.6 million, G&A were $1.4 million, and net finance expenses were $4.8 million. The net finance expenses had been negatively impacted by bunker consumption claims budget charters for two other companies VLCCs, bunker cost related to vessels on schedule off hire and a one-time cost related to change of technical management. With that, I will open it up for questions.
Operator: (Operator Instructions) Your first question comes from the line of Jonathan Chappell - J.P. Morgan.
Jonathan Chappell - J.P. Morgan: First question has to do with some comments you made both in the press release and the call about being you are fine with your debt covenants and the ability to pay this $0.05 special dividend. Have you been in discussions with your banks regarding your certain covenants and as asset values had seemed to come down over the last couple of months, what is kind of our cushion you think would continue to be able to pay a dividend based on current asset prices in your covenants?
Ole Jacob Diesen: As the situation stand now, our ships’ estimated value by the yearend was about $570 million and we estimate that we will have no need to discuss with the bank unless the ship values fall over 30% more. 
Jonathan Chappell - J.P. Morgan: Okay. So, you would say in your opinion that at least the $0.25 dividend appears to be safe for the time being?
Ole Jacob Diesen: Well, as we have said every time, we evaluate the dividend on a quarterly basis and we always consider the market opportunities, the Company obligation and the market overall from the time as you know when we consider that the current dividend is substantially covered through the base charter hires with OSG.
Jonathan Chappell - J.P. Morgan: Right, okay. That is a good lead and my second question only at what kind of opportunities are you seeing? Asset prices have come down not just in the tanker space but across the shipping spectrum. Based on your views on asset prices and time charters that are available right now, do the returns look good in any of the segments as one like particularly better than the other right now?
Ole Jacob Diesen: I think what we are experiencing now is I think that being a public company is more attractive in the market place today than it has been previously. So what we are, and we have deal flow is quite good I must say but what we do experience is a certain misalignment still between the vessel values, asset values if you will and the share prices. So, in order to really get going, we think we have to see a better alignment between these two factors.
Jonathan Chappell - J.P. Morgan: Because equity has to be a big portion of the purchase price?
Ole Jacob Diesen: Well, there is a, it is not so easy to get new additional bank debt as you know. 
Jonathan Chappell - J.P. Morgan: Right okay, two more quick ones. Eirik, the operating expense run rate, I guess you are starting a new run rate as far as the agreements are going on the OpEx side. What should we be looking for on a quarterly basis starting in 1Q?
Eirik Uboe: As you know the new agreement based on the market cost commenced on January 16, 2009 and just roughly speaking, we are looking at maybe the VLCCs around 11,000 a day and the Aframaxes slightly north of 9,000.
Jonathan Chappell - J.P. Morgan: And then finally, Ole Jacob, you said that the first quarter was looking like it could be a very strong quarter or a good quarter just like the fourth quarter was. Do you have any sense yet, have you had any information from the pools as to what the 1Q to date bookings look like?
Ole Jacob Diesen: I was expecting that question. The input from the pools which we usually say in the press release and in the conference calls is coming really from OSG and we have not received OSG information about the coverage of the pools at this time. [USK] usually come up with the figures ahead of us. That is why, and we are ahead of them now.
Eirik Uboe: I do not know to date, Jon, but when they release, you will see the numbers there.
Ole Jacob Diesen: But if you look at the market, the market feels good and above our base hires.
Operator: Your next question comes from the line of Natasha Boyden - Cantor Fitzgerald.
Natasha Boyden - Cantor Fitzgerald: I think Jon covered most of everything but just one quick question on OpEx, can you just give us an idea how much the one-time charge was related and technical management in the fourth quarter?
Eirik Uboe: There is one-time charge for change on management?
Natasha Boyden - Cantor Fitzgerald: Yes that you had this quarter. I think you mentioned in the press release that you had a one-time cost related to change of technical management.
Eirik Uboe: Yes, the charge was about $500,000, Natasha.
Natasha Boyden - Cantor Fitzgerald: You also mentioned in the release that you have some dry-docking in 2009. Can you just give us an overall idea of how much that is going to come to?
Ole Jacob Diesen: That is a little too early to actually get an overview.
Eirik Uboe: I think if you look at the last paragraph in the press release, Natasha, you will some estimates on days.
Natasha Boyden - Cantor Fitzgerald: Given those days, I am just wondering if you can give us an estimate on cost.
Ole Jacob Diesen: They said that the technical specifications for these dockings are still not completed. So we do not have actually a good figure to give at this day.
Natasha Boyden - Cantor Fitzgerald: Okay, alright. So, well do you think we will be able to get that into the year as we get further down?
Ole Jacob Diesen: We will get that as we get closer to the various dockings, yes.
Natasha Boyden - Cantor Fitzgerald: Okay, great and then can you just remind us what your value maintenance covenant is under your bank facilities?
Eirik Uboe: A 120%.
Ole Jacob Diesen: That is better than 20% on the steel value versus the outstanding debt at the time.
Eirik Uboe: That is the default covenant.
Natasha Boyden - Cantor Fitzgerald: Okay, great. Also then just more of sort of macro question in terms of what influence you think perhaps tanker contango on VLCC storage we will have on VLCC market this year? I mean do you see it having a lasting effect from those deals or do you think it is going to be more short term here?
Ole Jacob Diesen: I cannot give you exactly how long people wish to keep this storage going on and how much storage there will be. Frankly speaking, I think that that is a question better asked for oil trader. On the other hand, there is no doubt that it has a positive effect to the market at the moment and it is expected that over 30 ships are being used as storage so in that respect, undoubtedly a positive for the market. I cannot give you the exact figures on those ships.
Operator: Your next question comes from the line of Ken Hoexter - BAS-ML.
Ken Hoexter - BAS-ML: Just to follow on that issue of contango. If we see a lot of these 30 vessels start to come off let us say, it has been already started as storage for a year and you have got a heavy new built in 2009, do you have increasing concern for the second half rates or do you see the phase of single hulls coming out? I just want to understand how you see what the order book kind of picking up seem in the back half of the year.
Ole Jacob Diesen: Historically, there has always been a market pressure whenever the ships leave the storage as a result of the contango and yes, there will be new building that is coming but I think also that we add too in this context taking a few more factors and one is the single hull although it is very hard. I do not think anybody really can give you the exact figure as to what extent it will be phased out but the commercial obsolescence is probably the most important factor in that regard. And you have the situation where I do not think there is going to be a lot of delays for the 2009 deliveries. So they will all come on board. There will probably be a pressure on the market rate and I can only in that context remind you that we have our ships on time charter with a base higher and we will only be affected to the extent that our profit sharing could considerably go down. But in that regard, I think we have to look to the profit sharing and the fact that it is on that fourth quarter rolling basis. Well, there is a good lag time there as to what extent it will affect our profit sharing even if the market will have a negative pressure.
Ken Hoexter - BAS-ML: A very fair point, Ole and that actually leads me to my next question as on the charters. Obviously you came up in extended the vessels for about a year ago now or couple months ago. As we get closer and closer to that 2010, 2011, are there ongoing discussions about forming any kind of new charters or are you looking to extend the options? What kind of discussions do you have at this point or do you wait until we get much closer to the..?
Ole Jacob Diesen: We have no discussions with OSG at this point to the extent of initial charter period. The initial charter period were extended in November as I said for 18 months for two ships, the two Aframaxes, the smaller Aframaxes and for one year, for the other five ships and that brings us, the fixed charter period. Overall, it brings us to have that time charter coverage on 4.7 years I think, 4.5 I am being corrected here and it leads us to our peak charter periods at the moment are expiring in 2012 and 2013. So, I think that is very positive that we have not had any further discussion about extending the initial charter period in OSG.
Ken Hoexter - BAS-ML: Alright great. Just last one, just a technical one, you mentioned the number of delay days in the quarter, has the terminal strikes and the weather issues you kind of highlighted, is that all resolved for those particular vessel sailings or there are still issues that you are dealing with that could cause additional delay days in this quarter?
Ole Jacob Diesen: I think I did not quite understand your question frankly.
Eirik Uboe: I think, Ken, the delay we have was delay in connection with the dockings.
Ole Jacob Diesen: I talked about the delay specifically that related to the dockings and we had two ships in the dock over the third or fourth quarter related to Aframaxes 2004 bill and because the ship yard had a very tight schedule. We actually ended up laying their weight into the dock for an extra week and then finally get into the dock then we handed up the situation of bad weather and they could not apply the coating on the bottom. That is what I was referring to as far as our ships are concerned. The market overall had a benefit in fact by the fact that a lot of the ships and the tankers were tied up in connection with the strikes in France as well as tied up in Bosporus and just like we have all the tankers that is being tied up in the storage that have all takes to the market positively. That was the general term.
Operator: We currently have no further questions coming through. (Operator's instruction)
Ole Jacob Diesen: Okay, well if we have no further questions, I would just take the opportunity to say thank you very much for getting up early and we are pleased to talk to you and hope to talk to you again in other quarter and I trust that we all can be very happy for our shareholders, the fact that we are providing such a nice dividend as we do now. Thank you.
Eirik Uboe: Thank you.
Operator: Thank you for joining today's conference. You may now replace your handset.